Operator: Ladies and gentlemen, thank you for your patience in holding. We now have your presenters in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of this morning short remarks, we will open the floor for questions. And at that time, instructions will be given as to the procedure to follow if you would like to ask a question. It is now my pleasure to introduce today's first presenter, Taryn Miller.
Taryn Miller: Thank you, and good morning, everyone. Welcome to Kimberly-Clark's Third Quarter Earnings Conference Call. On the call with me today. Are Mike Hsu, our Chairman and CEO; and Maria Henry, our CFO. Earlier this morning, we issued our earnings news release, and we also published prepared management remarks from Mike and Maria.  The summarized are third quarter results and full-year 2021 outlook. Both documents are available in the investors section of our website. We hope you find it valuable to have our prepared remarks ahead of this call. In just a moment, Mike will share a few opening comments and then we'll take your questions.  During this call, we may make forward-looking statements. Please see the Risk Factors Section of our latest Annual Report on Form 10-K for further discussion of forward-looking statements. We may also refer to adjusted results and outlook both exclude certain items described in this morning's news release. The release has further information about these adjustments and reconciliations to comparable GAAP financial measures. Now, I'll turn it over to Mike.
Mike Hsu: Thank you, Taryn. Good morning, everyone. Before we get to your questions, I would like to offer some perspective on our third quarter and further actions we're taking in response to this dynamic and challenging microenvironment. Organic sales were strong up 4 % in the quarter and included the impact of pricing actions implemented in the second and third quarters. In North America, Personal Care organic sales were up 11 % driven by mid-single digit increased in both net selling price and volume.  In D&E markets, Personal Care organic sales were up 7 %. Organic sales increased double-digits in Argentina, Brazil, China, India, Eastern Europe, and South Africa. Our top-line performance was strong, despite the resurgence of COVID, which impacted growth in ASEAN, Latin American K-C Professional. Our market positions remain strong and improving, reflecting strong innovation and excellent commercial execution in nearly all key markets. Our share positions in North America remains solid with good sequential gains in personal care. Our share performance in D&E markets remains robust, where we continue to strengthen our diaper leadership positions in key markets including China and Brazil. We also continue to focus on cost, with our teams delivering solid savings of $150 million in the quarter. In addition, we reduced between the[Indiscernible] and spending. Now, clearly our margins and earnings costs well beyond the expectation we established just last quarter. I'd like to highlight the effects of three areas of volatility that are most impacting our business. First, as we noted in July, and on the basis of external forecast, we had expected commodity prices to ease in the second half of 2021.  Instead, prices for resin and pulp increased further in the third quarter and are now expected to stabilize at a meaningfully higher level than our prior estimate. Second, a tight U.S. labor market and disruption in domestic and international transportation markets are having an elevated impact on our supply chain as we work to get our products to the shelf and meet consumer demand. Third, energy costs are up dramatically in Europe, where natural gas prices have risen as high as six times year-ago levels. Energy prices in North America are also up sharply, although not to the same extent.  As a result, our margins are down, but were down with declines only partially mitigated by the actions we've taken TO date. We're not pleased with our results and were taken further action to mitigate the impact of higher input and labor costs. These steps include further pricing actions, additional initiatives to ensure we achieve our cost savings goals, and tightening discretionary spending. At the same time, we remain committed to investing in our brands and commercial capabilities. While we expect to see some benefit from these actions in 2021, we have further reduced our outlook for the year. This reflects our third quarter performance and our expectations for the fourth quarter.  And while we're not ready to call our outlook for 2022, I will offer perspective on key variables that will affect our plan next year. First, we continue to build top line momentum. In addition, our pricing actions, brand investment, and commercial program should provide further benefit in 2022. Second, some discrete headwinds we faced this year will be behind us. This includes the U.S. winter storm and presumably consumer tissue destocking. Third, some headwinds we faced this year may become more persistent. We're now expecting further inflation on several key commodities.  We're also expecting continued tightness in the labor and transportation markets, which will continue to impact our global supply chain all the way to our customers. In addition, the going forward impact of COVID on both demand and supply remains very unpredictable. We will continue to move decisively and navigate changing market conditions, we'll also continue to invest in our brands capabilities to maintain brand momentum. Our strategy is working and we remain confident in our future and are confident in our ability to create long-term shareholder value. Now we'd like to address your questions.
Operator: Thank you. At this time, we will open the floor for questions. [Operator Instructions]. Questions will be taken in the order in which they are received. [Operator Instructions]. Thank you. Our first question comes from Dara Mohsenian with Morgan Stanley.
Mike Hsu: Morning, Dara.
Dara Mohsenian: Hey, guys. How are you.
Mike Hsu: Good. I've been better.
Dara Mohsenian: Yes. It's a tough environment. So you mentioned further pricing actions, Mike, could you just be a little more specific there? Maybe review what you've done globally in terms of percent of portfolio, magnitude of increases generally, where you've taken increases and maybe just some insight in terms of the forward pricing, are you looking at it more on the product category basis, geographic basis? But just as you think about the forward pricing, any more insight would be helpful.
Mike Hsu: Okay,[Indiscernible]. Maybe I'll start a little bit philosophically. And I would say based on our strategy, in our improving margins is a core aspect of K-C 2022 for us. And so we've taken further actions to offset inflation. I mean -- and I believe margin improvement is a fundamental pillar of what we need to do for the Company. And so we expect to fully offset inflation with both pricing and cost reduction, so a combination. And while we took the fully offset that over time, so we announced some further actions in Q3.  The year-to-date, our actions are fairly broad-reaching every region, every business, generally, I wouldn't -- actually, not every single business, but generally across most markets. And so in Q3, we've announced broader actions in North America, professional and consumer Latin America, and other markets selectively. So I would say pretty far reaching. I will tell you Dara, our earlier pricing actions are generally on track as you saw in the release.  We had 3 points of price factor in organic in the quarter. We have seen some other brands move, particularly in North America. I haven't seen significant movement of private label yet. Although I'll note that typically occurs a little bit later, and we've had a little share of softness. But in general, I think our volumes are holding up well.
Dara Mohsenian: Okay. And on the advertising side, certainly you've cut back a bit in this tire commodity environment, is there a point when you get concerned that maybe you've cut back a bit too much? Obviously, you mentioned the market share results remain healthy. But how do you sort of think about flexing that line item and we're sure of voices today in the categories you're competing in?
Mike Hsu: Yes. I mean, I -- you can probably see it in the release. I mean, we feel very good about our organic performance. I think our brands are very fundamentally healthy. And I think our investment in both innovation and commercial programming, especially advertising, are working very hard for us. So we're going to obviously work hard to make sure our margins improve, but we want to maintain that investment in the brands, especially where it's working.  That said, we have made some adjustments in some categories where it felt like it was perhaps a little less effective in the current environment. And so to that extent, we've done that. We have trend our between the line spend a little bit, but that -- I would tell you that's been more on the G&A front than on the MCP front in the quarter. So [Indiscernible] is there something you want to add.
A - Taryn Miller: Yeah, I think I describe it as we're being -- we're being very pragmatic here. We had some challenges on the supply chain side that are affecting us. So we have challenges getting the product to our customers and where we've got a higher demand than we can fulfill at the moment because of the supply chain challenges. We're really looking at what are the near-term returns on our investments, and we've been prioritizing those as we look at the current situation. And so we've trimmed the advertising investment a bit, but that's on the back of significant step-ups for the last two years, and when I look at the year, our expectation is that on a dollar basis, we'll be up nicely from where we were in 2019.
Dara Mohsenian: Okay. And then last question, just as we look out, obviously there's a lot of volatility from a commodity cost standpoint. And things have been moving in the wrong direction, and you're taking a lot of pricing to help offset that. Is there a certain point you can look out to where you think the year-over-year pricing, at least based on the plans that are in place today, as well as spot commodities where we are today, where you are able to fully offset it on a year-over-year basis?  Obviously, there's still -- there's a big gap leaving this year, but I'm wondering on more go-forward basis, is it more in the middle of next year when you think you have enough pricing to offset year-over-year commodity increases? Could it be earlier than that? How do you think through that conceptually? Understanding will be some gap leaving this year, but when on a year-over-year basis do we get to an ability maybe to offset some of these cost pressures from your vantage
Mike Hsu: Yeah, Dara, I mean, that's why we've been saying we'll offset, or get our margins back in line and improving over time with both pricing and cost reduction. I think the middle of next year is probably a good kind of perspective for us.  Because obviously what happened this year was we saw the change in the commodity line, obviously coming out of the first quarter, and so we announced pricing that was effective, or we announced it at the end of the first quarter and it was effective in our second quarter of this year. Certainly, commodities have moved significantly since then.  And so we've made additional actions, and that's going to take us time to implement fully. So, that's one component. The other component I will tell you that looking forward is -- and I think we indicated this about 2022, is the global supply chain is under pressure, and we do expect cost to remain elevated for a period. Not not all costs.  Certainly, I think there's some fundamentals in the Eucalyptus market that would say, hey, there's more capacity coming along, so that should come back a little bit. But the polymer-based products seem like they're going to remain elevated for a little while. We mentioned the U.S. labor costs and pressures on transportation globally, I think that's going to remain elevated for a while because I don't see a fundamental catalysts to change that in the near term. And so that's why we're making some of [Indiscernible]
A - Taryn Miller: I would add it will depend on the -- where commodities go, and any pricing actions that we take from here. So I might be a little bit more cautious than the middle of next year in terms of margin recovery. But we'll have to see how the dynamics play out. I think at this point, it's just -- it's too early to call. What I would say is, we understand the situation, we understand what the drivers are and we'll manage through it with an eye toward recovering our margins over time.
Dara Mohsenian: That's helpful. Thanks. I'll get back in queue.
Operator: Thank you. Our next question comes from Lauren Lieberman with Barclays.
Mike Hsu: Good morning Lauren.
Lauren Lieberman: Thank you very much. Good morning. I wanted to just focus in a little bit on the supply chain disruption mentioned briefly in the prepared remarks and you guys just spoke to it a bit, so -- and it's also impacting your sales outlook for this year. So I was hoping you could give us a little bit more color on what categories are we talking about? I s it you're not able to procure inputs, or is it about not being able to get from your factory to the store effectively and which element the supply chain is if it's under pressure and what category should we be looking for that pressure and particularly next quarter.
Mike Hsu: Yes. Okay. Well, maybe I'll start when -- and Maria has probably got much more detail. But I would just -- not to be flipping around, but it is affecting almost kind of all areas of our operation. I mean, certainly, I think you can clearly see on Fiverr and resin-based the commodity challenges. And so I think that's kind of a well-established and visible for you-all. I think maybe -- what, maybe, as a little less clear is kind of how it's rolling through and what I mentioned, labor markets and the transportation market, it ripples through.  And my take would be it, it looks like COVID appears to have increased the demands for goods over the past year or so, and [Indiscernible] shifting expanded a little bit from services to goods. And so, what that -- the other effect of COVID is, and you've read all the articles about the great [Indiscernible] whether that's the case or whether it's more -- that there are a lot more options for hourly work, it has really tightened the hourly labor supply.  And so because of that, that pressure on both sides, increased demands means much more demand for containers or trucking. Less labor means fewer drivers to drive the trucks. And because of that, as you noted in our third -- even in our third quarter, while our service levels are improving significantly, we were not able to get all our orders out the door on the timeline that we wanted. And because of that, that rolls through in multiple ways.  One is we pay higher rates for employees, higher wages -- were paying higher rates for transportation. It's rolling through -- in some cases, our employee tenure is -- has shortened dramatically, and so it's changing how we staff because we have to staff more people to get the product out the door. We've got production outages, missed deliveries, and that ripples through with fines and everything else with customers.  And so there's just the many ways that I think both this pressure on the labor side and the transportation markets ripples through the cost. And that's why you're seeing a little softness in our FORCE delivery. Most of that was because of the elevated costs. I don't know, Taryn do you have more to add?
Taryn Miller: No. I think that was pretty thorough. It's basically across the board getting supply into our mills, getting supply out of our mills, getting the products moved around the distribution network, lots of challenges on the warehouse side. We need to hire -- in a normal time, if we have 30 people given the inefficiencies with the labor and turnover, we might need to have 40 people just to get the same amount of product at the door, as an example. It's -- across the board, primarily in North America. Although in the UK, there's also distribution challenges, it's another market where it impacted our sales in the quarter. And that also has to do with labor related to Brexit. So it's -- I've never seen a supply chain environment like this, and it's affecting us across the P&L.
Mike Hsu: Yeah. Lauren, one thing I'll add is I don't know that there's a -- I think we said in the notes, not a short-term solution here, because it does feel like it's based on fundamentals, which is -- there's more demand for goods. And I think we're seeing that in many categories beyond consumer. And then there's -- it does feel like there's more options for hourly employment, and because of that, that's putting pressure on the labor markets and hiring for the roles that we need, right?
Lauren Lieberman: Okay. And so when you also mentioned about, I think it was in the prepared remarks, that investing in the supply chain to meet demand, this is what we're talking about, just -- it just absorbing these higher costs. It's not structural Capex type investment, it's investment meaning in incremental workers and so on.
Mike Hsu: Yes.
Maria Henry: Right. Its the P&L investment. And then I think I've mentioned this before in terms of overall investment and Capex, and where are those dollars going on, part going to the -- part of the investment is in digital supply chain. And that's been a driver of our Capex and we'll continue to be for several years. And when we -- even when we look at things like the S4 HANA upgrade, we've wrapped a lot of supply chain digital capabilities into that program. But that's not new news.
Lauren Lieberman: Okay. Great. I'll leave it there because that was a lot that you gave me. Thanks very much.
Mike Hsu: Sure. Thanks, Lauren.
Operator: Thank you. Our next question comes from Christopher Carey with Wells Fargo Securities.
Mike Hsu: Morning, Chris.
Christopher Carey: Hey, good morning. Thanks so much. So a couple of category questions actually. On the Personal Care side, can you just maybe expand a bit on the strength that we're seeing in the business? There's been a lot of commentary around challenge birth rates and yet the business continues to see strong growth.  Think North America might seem entailed in[Indiscernible] this quarter. Our forecast was wrong for the birth rates this year, our [Indiscernible] income [Indiscernible] is doing better, is being offset the impact of the job losses. Just any perspective you might be able to provide around why that business seems to be doing better.  And then I'll just add on the second kind of category question here. I mean, I appreciate that the tissue business -- the consumer tissue business is seeing difficult constant continued destocking, but there has been some market losses. I wonder if you could just expand upon that as well. So there's one on the Personal Care side, and then on the tissue side as well, please.
Mike Hsu: Yeah. Overall, Chris, our brand fundamentals are strong and really improving. And I think it's really based on differentiated innovation and excellent local commercial program -- really the driver. And I think our brands are about as healthy as I've seen for as long as I've been here.  Obviously, not all of them are working the way that we would like them to work. But in general, our brands are performing quite well. The birth rate issue mentioned in diapers is real, although there's a couple of dimensions of that, which is one, certainly a big decline in birth rate in China. Five-years ago, there were about 17 or 18 million births and this year, it looks like they'll be about 10 - ish, right?  And somewhere in that range. And that said, it's still going to be a big market and still the largest diaper market in the world for along time. So that's one thing, that's one that's on the downside. The US on the contrast because there was a little bit of decline in births last year that accelerated because of COVID, actually slightly up this year. And actually, we're seeing through the first couple of quarters and the projection is moving towards modest growth in the second half, so that's a bit of positive news. But the overall, I think the reason why you're seeing strong performance on personal care is more what I talked about previously, which is strong innovation pipeline and strong local programming on the commercial side. And what the teams will say it's not any one thing, it's the combination of a plan, meaning great innovation backed with great marketing, with a great sales plan and local execution, all working together. And I think the numbers you may have seen about Personal Care is accelerating globally, it was up 9 in the quarter with a strong recovery in North America that was up 11. And then we're continuing to see that strong performance across D&E in most markets. Making good progress in K-C Professional as well, that was up 12 with North America being up 16, and a healthy balance of both price and volume. And then consumer tissue, although still down in the quarter, was down 6, and down 9 in North America, I would say that was stabilizing. Our consumption in North America was better than our organic, and that's because we're cycling up big year-ago customer or consumer inventory build, that happened in the third quarter. Little bit happened in the fourth quarter last year as well. So we're cycling that. But I would say the good news on consumer tissue globally, it feels like its stabilizing. We have given up a little share in North America, we probably picked up a little share last year on bath tissue because we had a little more availability. Our teams were scrambling to put out as much output as it could, as we felt like there was a lot of consumer need for our products last year. And so we did that and we probably gave back a little share. But again, I think overall we feel like consumer tissue certainly stabilizing versus what we saw in the first and second quarters.
Christopher Carey: If I could just think things for that, if I could just have one follow-up. Just on the pricing in consumer tissue, I was surprised to see it come in relatively low given the magnitude of the inflation that is historical as you've mentioned a number of times today. Is that just a function of timing? Was there promotional event in the quarter that offset some of the pricing? Do you expect that to build significantly from here?  Just any perspective. Or is that a function of some of the market share issues you're seeing at? Maybe not pricing, as much as -- any perspective you might be able to just provide on the pricing and the consumer tissue business. And maybe how you see that shaping up in the very near-term. Thanks for that.
Mike Hsu: Yeah, consumer [Indiscernible] particularly in North America, will build as the year goes and into next year. And so, yes, so there was not that much in this year and then we did have a little additional trade investment versus a year ago, and so that offsets some of it, but we expect that to continue to build as the year goes.
Christopher Carey: Okay. Thanks so much.
Mike Hsu: Great. Thank you, Chris.
Operator: Thank you. Our next question comes from Kevin Grundy with Jefferies.
Mike Hsu: Good morning. Kevin,
Kevin Grundy: Great. Good morning, Mike, morning, Maria.
Maria Henry: Morning.
Kevin Grundy: Mike, I wanted to wanted to come back just on market share. You touched on a moment ago, and you didn't seem overly concerned about the U.S., as we look at the Nielsen data, it's down across the board for the most part, in the most recent four weeks and 12 weeks; and to your point, Mike, it has been more pronounced in tissue and towel, but it's not entirely tissue and towel.  So I just wanted to get your opinion, your view on where you stand in the U.S., your relative satisfaction, how you believe your supply chain may or may not be more impacted, or impacted to a greater degree by some of the supply chain issues out there. And how you're thinking about, just broadly, to a question earlier, just pulling back on spending in light of some of the market share trends, which I suspect they're probably not where you'd hope they'd be, but I can stop there and then I have a follow-up.
Mike Hsu: No, thank you for keeping us up for honest on the shares. But what I would say, we're improving from a tight supply situation, and so that's probably the big thing. And so we're recovering really well. I think we have for the year up, we're even in 4 of 8 categories in North America. That's a little less than what I would like. But 7 of 8 sequentially, so we're making progress.  And so if you remember, Kevin, we had really tight supply situation toward the end of the first quarter, and that flowed through the whole second quarter. We're down mid-single-digit share points, I think in diapers at that point. And so the team has really done a nice job recovering. I think in diapers, we're up 340 basis points sequentially in the quarter. And just about even, maybe a little bit less than even on share overall in the quarter. So we feel good about the recovery. I think we're making good progress in adult care tissue. As I mentioned, on the bath tissue side, we're a little soft because we had maybe a little [Indiscernible] by this year that I was hoping to hold on to, but we haven't held onto it. But that was more due to availability.  Kleenex is up pretty good, pretty substantially, and we feel good about that although the category is down. And then on towels, yes, we're down about -- a little over a point. The issue there is given supply conditions, we have shifted some of our supply of production from towels to bath, and that's caused part of that. Overall, I would say that the brands are moving in the right direction, not all, but we feel like we have the right plans in place and we're going to continue to make progress.
Kevin Grundy: Got it. Got it. Thanks, Mike. And then a quick follow-up for both of you, just on trade promotion, Mike, I think you made a comment that the between-the-line spending was down, I believe that you said or maybe down sequentially. Just clarify on that. It's not just Kimberly-Clark's, but broadly for CPG, they continue to promotion levels are moving higher and understandably moving higher off of lower basis in the prior year.  But sort of triangulating that with the cost environment. What is sort of the logic between the CPG companies and retailers at this point to move trade promotion higher? Is there a right level? Is the normalization, we want to get back to pre -pandemic levels and if so, why? What is the sense behind that, particularly in the current environment? And then I'll pass it on. Thank you.
Mike Hsu: Okay. Can -- maybe I'll comment on the trade and Maria, maybe can comment on the between the lines. But one -- in North America, in particular, I think [Indiscernible] promotion levels have moved back to "typical levels ". The percent -- as measured by percent promo sold on -- or percent sold on promotion was down 50 % to 75 % last year as we all curtail promotions because of demand.  At this point, I'd say it's returned to historical levels, both in Personal Care, which happened about the third quarter of last year, and then in consumer tissue, this quarter or the third quarter this year. The philosophically -- I do think retailers do believe brand [Indiscernible] occurs with brands and so promotions continue to be important our categories.  There is potentially some share shifting. Frankly, my emphasis would be on the -- what I call the high road approach to growing brands, which is growing brands through great innovation and marketing. And using trade and promotion as a fundamental element of that to support what we're doing from a marketing perspective.  But I don't really value share from promotion alone. In general, we're going to be focusing on being efficient with how we spend our promotions and being disciplined about it. Especially Kevin, as you might imagine in this environment where certainly pricing and price realization is important, given what's happening with the cost front.
Kevin Grundy: Got it. Thanks, Mike.
Maria Henry: And then on the rest of it, just generally on between the lines for the quarter at 15.6%, that low. And the main driver of that is around incentive comp. As you can imagine with the updated forecast, the incentive payments will be meaningfully lower. And in the third quarter, we not only stepped those down, but we also had basically an accrual adjustment true-up from the first half. So there was a sizable benefit on incentive comp reflected in the third quarter.  And I will call out that we expect in the fourth quarter that the between the lines will step back up. And that's two things. We won't have the incentive comp true-up accrual, and seasonally, our SG&A runs higher in the fourth quarter than in the rest of the year.
Kevin Grundy: Got it. Thank you both. It's so seemingly, Mike, it's the retailers that are driving more of this. Just not to put words in your mouth, but it seems like there's an appetite there among the retailers to normalize the categories. Is that fair?
Mike Hsu: Well, I don't -- I wouldn't put it all at retailers. I think the manufacturers also rely on it as well. Maybe -- certainly my kind of attitude or philosophy for it is, I think I've said it before, I don't like to rent share through promotion. If we can use promotion to drive the trial that we want on our innovation, I'm supportive of that.  And so that's a little, but I may have a slightly different take than others, but I wouldn't lay it all at the feet of our customers. They're great partners. Our categories matter to them, and obviously, they matter a lot to us. And so it's a symbiotic relationship.
Kevin Grundy: Understood. Thank you for all the color. I appreciate it. Good luck.
Operator: Thank you. Our next question comes from Peter Grom with UBS.
Mike Hsu: Morning, Peter
Peter Grom: Hey, good morning. Maria and Mike I just want to go back to the 2022 margin recovery, and maybe just a housekeeping one first. I'd like following up on Gary's question, the halfway through the year or maybe a little bit longer is when you [Indiscernible] margin expansion; is that year-over-year, or when you expect margins to return to more normal historical levels? And is that gross margin or operating margin?  My thought would be expansion in gross margin, but just wanted to confirm.And then this is a bit more conceptual, but I just want to understand how you think about adding back advertising next year, particularly after[Indiscernible] supplies constraint get better and gross margin improves.  Like how do you balance recovery of operating margins back to the high teens, versus reinvesting back in the business to set yourself up for growth in years to come, particularly given the lower spend you'll be cycling this year? Thanks.
Taryn Miller : Sure. Peter, I'll start and then Mike can chime in. The -- next year, we will have some interesting dynamics, and it's probably going to be a bit of a tale of two-half when you look at the first half of this year and the second half of this year, that's going to drive some year-over-year comps that will have some
Maria Henry: different dynamics. And as I've said, we'll have to see really how commodities play out and how pricing plays out, and I would characterize it as we'll look to recover margins over time if we are very focused on margin recovery.  And exactly when that's going to happe, I'm not prepared to say, but we'll have a lot more to say on that in January when we have three months more of visibility and three months more of additional actions that we'll take as a management , we're working through our 2022 planning cycle now.  And so, we're pulling that together. And given the volatility and the lack of visibility that we've had, it's too early to call the year, but we'll give you our best view in January. And Mike, I think you can probably comment on advertising and how you see that unfolding.
Mike Hsu: Peter, we've actually increased our advertising investment significantly over the last few years and we feel good about that. And clearly, I think that's showing up in the numbers in terms of the organic growth and the overall health of the brands that we've -- as I talked about earlier on this call. So, we feel good about that.  I would say at this point, we will look to continue to build that where we're probably operating kind of in the five plus or minus range -- 5 % range of sales. It is still a little lower than our primary competitors. I would like that to be higher over time, although we probably never will match some of our competitors at the same levels they will.  But I still think we can productively invest more and make that a win-win for the brand while growing our margins at the same time. The unique thing about advertising of this -- in this environment, or as digitals unfolded is the returns are much better than they historically have been. And so we continue to improve our efficiencies, we're getting better at that. And so for us, we're going to continue to look for ways to grow the business.  And that's going to include through advertising investment. At the same time, Maria and I will also work to deliver a balanced plan that will deliver as we just mentioned, margin improvement over time, while delivering improved organic growth.
Maria Henry: Thank you. Yeah, and I'd add that[Indiscernible] even outside of the advertising, and when we look at between the lines of spending, I commented earlier by embedded in there. I should note, beyond incentive compensation dynamics, we are reducing other discretionary spending, including in the kind of core of SG&A.  And at the same time we're continuing to invest primarily around IT digital types of investments and our commercial capability development, and so on the P&L you don't see the full net effect of the actions that we're taking there, because we are continuing to invest.
Taryn Miller : We -- the commodity inflation ran up on us quickly. It was far in excess of what we expected in the third quarter. But we're continuing to make investments in the Company for the long term, and we're very committed to doing that, and focused on the long-term health of the Company and the brands.
Peter Grom: Great. Thank you so much and best of luck.
Taryn Miller : Thanks.
Operator: Thank you. Our next question comes from Steve Powers with Deutsche Bank.
Steve Powers: Hey, guys.
Mike Hsu: Hey, Steve,
Steve Powers: Hey, Mike. Could you talk a little bit about [Indiscernible] savings? It just -- it's coming a little bit -- the lower end of your plan. And against the rising cost backed up, I guess, I've been sort of [Indiscernible] to think of those two numbers as positively correlated. So as cost inflation goes up, your procurement savings tend to also increase.  Obviously, we're not seeing that right this moment. So is that -- what do I glean -- which I gleaned from that and in the near-term? And is it temporary that that reaccelerate – does [Indiscernible] savings reaccelerate to '22 because of timing issue or is it some kind of indication that you're starting to run out of runway on force?
Taryn Miller : Sure. We're definitely not running out of runway on FORCE, and we continue to see opportunities in the supply chain, and some of the digital supply chain investments that I referenced earlier in the call will help us unlock those opportunities.  The FORCE cost savings for this year is really affected by the supply chain challenges that we've been facing, which are a headwind for our cost savings. And it's related to production and distribution inefficiencies caused by demand volatility, and also the logistics issues that we've been talking about. The way that the FORCE cost savings program works is
Maria Henry: I've been negotiating material prices, a piece of it, which I'll come back and talk about in a minute. And then we have core productivity in our supply chain operations, as well as product revisions to achieve design-to-value savings.  So in the quarter, we had very good savings associated with the negotiated material prices. We also had benefits from productivity improvements and product changes, but not as much as we were hoping. And you have to net positive in terms of total delivered cost for it to count as FORCE cost savings.  So as you have headwinds coming in, they offset the gross FORCE cost savings that we would report, and that's really what we're seeing now; the headwinds that are flowing through manufacturing are dampening the net results of FORCE, but there are strong gross savings there. The other issue that we thought on FORCE is, our supply chain folks are very focused on managing through this near-term environment to get product produced and to get it to customers, so it can get in the hands of consumers.  And that leaves less time for our employees to be working on productivity initiatives within the supply chain. So it's really those two things that are lowering the FORCE cost savings number for this year. But we have a healthy amount of room to go in terms of driving supply chain productivity as we move forward.
Steve Powers: Got it. So playing it back. As the bottlenecks on supply chain hopefully alleviate themselves, then you have essentially some pent-up FORCE savings that just -- that should come to the surface.
Maria Henry: We do, and I should go back to the other part of your question, right? There's really two pieces of those force cost savings. The negotiated material prices, our savings are much higher this year given the contract structures versus the rapid inflation on the commodity side.  Those contracts get reset on a regular basis, so it will be reset at higher level. So when I look forward, I wouldn't expect as much benefit as we had this year just if you think about where we were coming into 2020 versus where commodities went, we got a sizable benefit in force there this year, so that piece of it. But on the core productivity, I would expect us to have more savings on that part of it as we move forward.
Steve Powers: Perfect. And if I could pivot, we talked to incremental pricing, and like you touched upon through the views on trade and promo in the conversation with Kevin. But I was just -- I guess I was looking to think about next year and whether the path to margin recovery is really less price-focused. Or if there are sizable revenue growth management opportunities that you have around the list price, just what the balance of that is, as we start to think about just the building blocks into '22?
Mike Hsu: Yeah. It's all of that. So a great question, Steve, and great perspective. I think I would share yours, which is, it's -- I think it's a balanced deployment. Obviously, this year we went with [Indiscernible] because it can be a little quicker and a little more efficient to implement for both us and our customers. T hat said, I think long-term in our categories, I would say for us, it will be a combination of list pack, right -- pack counts and pack architecture, right, and sizing, and then also promotion strategy, right? And I think all those are fertile ground for us. I've been talking about Revenue Growth Management for a couple of years now.  We're still early in the journey and getting better at it, but we have a lot of great tools globally that we're using to support our planning, and I think we're getting more and more disciplined about it. And again, I think the balance across the levers will be important for us into next year, but I think going forward.
Steve Powers: Great. Thanks to you both, appreciate it.
Mike Hsu: Thank you, Steve.
Operator: Thank you. Our next question comes from Nik Modi with RBC Capital Markets.
Mike Hsu: Good morning, Nik.
Nik Modi: Yeah, thanks. Good morning. Good morning. So Mike, just question on price elasticity, obviously things have looked pretty good, the consumer's in pretty good shape. But our stimulus fades, all that cash these consumers are sitting on starts to dwindle us into 2022.  How are you guys thinking about potential pricing and price elasticities? Just, I feel like more it's going need to happen because we all -- I think get the joke here that costs are going to continue to rise. And so I just wanted to get an understanding, do you have any strategies in place to minimize the amount of price shock that some of these consumers might feel as we get into 2022?
Mike Hsu: Yeah. Nik, hey. I was just talking about what, Steve, again, I think we've invested a lot of tools and so at this point, I think our elasticity modeling is pretty good, fairly accurate. I would say, given our categories, Nik, that the elasticity tends to be a little less when realized than what predicted just because if you look at these bath tissue, the consumption doesn't change that much. Maybe the value tier you purchased that may shift a little bit.  And so there is that dynamic, but we are sensitive toward that and it's also what's core in our strategy, is developing a great value proposition to our consumer. And so we're always cognizant of that. And I think one of the things that we've done in many markets around the world is offer a great proposition on both the value side and also the premium side. And while our strategy generally is to elevate our categories and expand our categories, I do think pricing on our categories, where the premiumization of our categories a little less than some of the others that I worked in the past.  So I still think there's a room to grow. However, we want to be able to shift. And that's we've done in a market like Latin America. And one of the reasons why we've grown share this year is because we've been able to pivot between our premium tier and our value tier. For reference, two years ago, we were making a student body left to go premium and we shifted a significant portion of our mix in Brazil from value to premium.  And over the past 18 months, we've been shifting it back the other way because that's what the consumer needs. And so we're really cognizant of that, we're aware of the elasticities. Thus far, I would say, our volumes have held up, although I think what's really happening is we're seeing the intended elasticity, but we do have brand growth initiatives that are offsetting some elasticity impact.
Nik Modi: Great. Thank you. I'll pass it on.
Mike Hsu: All right. Thanks, Nik.
Operator: Thank you. Our next question comes from Jason English with Goldman Sachs.
Mike Hsu: Morning, Jason.
Jason English: Hey, morning, folks. Thanks for slotting me in. Two questions. First is to follow-up for clarification. I thought Dara asked when you expect price and cost to be effectively net neutral, not when -- I don't think he asked when do you expect margins [Indiscernible] I think most of the answers have been around margin recovery, but so can you clarify -- you're not expecting price to be caught up with costs until the back half of the next year or not even? Like even that's too optimistic. It's somewhere beyond the midpoint of next year when price actually catches up with costs ceteris paribus.
Taryn Miller : I think we'll hold on the 2022 comments until we get to January, and then we'll have more to say about that. Once we have three months more visibility into what's happening in the commodity market, what's happening with price that's either in the market or will be in the market, and we'll give you our best view there.I don't think it's productive to speculate on that right at this point, given the volatility.
Jason English: Yeah. I'm just trying to get you to tell me what you actually said because I think I've heard like 2 different explanations on next year. So if you actually said a lot in 2022, I'm just looking for clarification on what you actually did say. But I appreciate if you don't want to add more. Pivoting back to just the core business then, good momentum on Personal Care. You're getting the price, your market shares are holding up, the business is turn back to the degree of profit growth. All pretty encouraging, but the tissue business looks very different, especially on the margin degradation side and the lack of price momentum. Can you elaborate on what's holding you back on price? What actions have you taken? What is in market now and why are we not seeing more momentum on price so far?
Mike Hsu: Again, I think what you see in our Personal Care, we did move very early on when we had our commodity forecast update in the first quarter, and so we did move on that. At the time, I think the tissue side or the fiber side was less clear. And so I would say we probably moved a little slower on the tissue side. We haven't announced some broad pricing actions in multiple markets since then. And so that's why I said earlier, Jason, that I would expect our tissue price realization to continue to improve as the year progresses.
Jason English: Have you raised prices in the U.S., in tissue.
Mike Hsu: We announced some price changes in August with our retailers.
Jason English: Got it. Thank you.[Indiscernible]
Operator: Thank you. Our next question comes from Andrea Teixeira with JPMorgan.
Andrea Teixeira: Thank you. Good morning, everyone. So I have two questions. One is a follow-up on the supply chain disruptions. Looking ahead on availability of raw materials, interest rotation lines, I believe those will linger into the first-half of 2022, setting aside the pricing commentary that you may not be ready to -- just in terms of availability of raw materials and transportation.  And then, a second one on the category growth between track and on track channels. [Indiscernible] you just see breaks growing faster than e-commerce because of the tough comparisons in the quarter? And do you see the share issues that you alluded to in North America mostly due to the fact that your competitors took longer to take pricing, or is that more of a availability issue? Thank you.
Taryn Miller : I'll start with supply chain disruptions. I didn't see a near-term catalyst for them improving. I think the labor issues in the U.S. are very real, and that's where we're feeling the [Indiscernible] of the challenges on the supply chain side. More globally, I mentioned the U.K. market, but also with global shipping, those issues are also quite challenging in a number of our
Maria Henry: markets. But the most acute issues and meaningful cost increases versus what we had been expecting is in North America, and that the labor market in the U.S., I just don't see a near-term catalyst, so I think the headwinds and the increased distribution costs will certainly be with us into 2022, and we'll have to see all of this plays out. It's not just affecting us, of course, it's affecting companies quite broadly, and we're we're all dealing with these challenges. And then, Mike, on category and share, I'll turn that one over to you.
Mike Hsu: Yeah, Andrea. Yeah. Again, online continues to perform very well for us, and then on-track as well. And so I think that's probably why there's probably discrepancy in our view of our market share performance, which we see as a little stronger than maybe what you might see. And so overall, we feel very good about that and the category growth, actually in both channels and I think our brands are performing well.  The issue that we've had on share, a couple of different areas. In North America, it's primarily been an issue around supply. And so even though we've made substantial improvement in our fulfillment throughout the course of the year, we're still not meeting all orders out there. And so our share's still a little light from that dimension.  And then in a couple other markets, again, I think it is, as you point out, maybe some relative price indices that have expanded a little bit in the short-term. We have moved on pricing in most markets. And while we've generally seen moves from branded competition, we haven't seen that in all markets. And so there's still a little softness we're experiencing in Western Europe and in some markets in Latin America.
Andrea Teixeira: And Mike, just to -- and I appreciate you both, but just on the track channels and non-track e-commerce, how much it grew this quarter vis - à - vis last year, and how much it represents now globally. [Indiscernible] you have the [Indiscernible] number, it would be helpful.
Mike Hsu: Yes. Overall, globally, we're probably in the mid-to-high [Indiscernible] at this point. I don't have the growth rate offhand, but it -- yeah, in the -- double -- strong double-digits is what I would say.
Andrea Teixeira: On top of [Indiscernible] -- I would just [Indiscernible] also very strong performance last year. Or last year, you could have --
Mike Hsu: Strong performance last year. Right. With the great news being our fastest grower was our biggest market. So that was good last year. And so, again, online continues to be important and increasingly important. And we're operating very well there.
Andrea Teixeira: Okay. Great. Thank you.
Mike Hsu: Thank you.
Operator: Thank you. There are no more questions at this time.
Mike Hsu: Okay. Well, thank you all for taking the time to be with us today. We're working hard to drive sustainable brand growth and taking further action to ensure that we improve our margins and earnings profile. So thank you all.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.